Operator: Thank you for standing by. This is the conference operator. Welcome to the AGI Third Quarter 2023 Results Conference Call. [Operator Instructions]. I would now like to turn the conference over to Paul Householder, President and CEO of AGI. Please go ahead, sir.
Paul Householder: Thank you, operator. Good morning, and welcome to AGI's Third Quarter 2023 Results Call. I'm joined today by our CFO, Jim Rudyk. I'll start the call with a review of our results and then turn the call to Jim for additional commentary on the quarter. Following our prepared remarks, the call will be open for questions.  The third quarter marked another record performance for AGI. With margins sustaining the notable expansion from the second quarter, we're confident that many of the tactical and business management changes implemented over recent quarters have taken hold and are steadily becoming company standard across AGI. With revenues and adjusted EBITDA up 6% and 20% year-to-date and an expanding EBITDA margin profile now over 19% year-to-date, the trend towards enhanced and optimized performance across the business is becoming increasingly clear.  A noteworthy dynamic for the quarter not captured in the headline sales figures was the favorable role that volume played. With steel prices down approximately 20% on average compared to prior year, strong underlying volume gains captured through the quarter highlight the pace of growth and robust global demand for AGI products.  Before expanding further on our results and providing additional business updates, I'd like to first make a few comments on safety at AGI, given it's a cornerstone of our culture and a priority for our teams around the world.  Our Olds, Alberta facility just recently celebrated 10 years of 0 lost time incidents. The team at Olds demonstrates that while the company-wide focus on safety has increased in recent years, many of our operations were already holding themselves accountable to high safety standards. This is an encouraging sign and a proud moment for the team at Olds as well as the rest of AGI. Olds is one of several AGI facilities that have multiple years of 0 lost time safety incidents. And we will continue to recognize and celebrate these milestone achievements.  Now turning to our third quarter results. Revenues of $410 million were up 2% year-over-year with strong underlying volume growth when normalized for higher prior year steel costs, supported by a 5% revenue increase sequentially from Q2. Adjusted EBITDA margins of 20.6% were up approximately 165 basis points year-over-year and helped generate 11% growth in adjusted EBITDA for $85 million total.  Across our three corporate strategic priorities, our high-level KPIs are all trending in a favorable direction. On profitable organic growth, year-to-date revenue increase up 6% and adjusted EBITDA up 20% are quite encouraging, particularly the acceleration of adjusted EBITDA capture relative to the revenue growth. This is a clear indication of the overall efficiency improvement of our business operations and a perfect segue into operational excellence.  On operational excellence, adjusted EBITDA margins expanded in the quarter to 20.6%. The year-to-date results delivered a margin of 19.2%, an increase of 230 basis points versus prior year. Importantly, we are clearly trending above our stated target of 18%. This is evidence that the new initiatives to optimize the business and minimize costs are taking hold. We have full confidence that a step change in AGI's margin profiles taking root as these processes and business practices are steadily becoming institutionalized.  To reinforce our efforts on operational excellence, we made a key new addition to our executive team in the quarter with the hiring of Kate Glasser, who has assumed the newly created role of Executive Vice President, Global Operations. This is a critical hire and an important addition to help further accelerate the centralization of key global business support functions such as manufacturing, supply chain, product management and sales execution, among others. Kate brings significant experience from a wide range of roles with leading companies in other manufacturing subsectors and will assume leadership of our global operational excellence capabilities and initiatives.  As we progress further on our operational excellence journey, we expect support from margins to be just the first realized benefit. Improved internal processes, tools and overall capabilities will help us enhance the customer experience and create competitive advantages, enabling AGI to continue to gain market share and grow revenue.  Our net debt leverage ratio continues to move lower and now sits at 3.2x. The continued trend lower is inclusive of the settlement of the Bin Incident in the quarter, which was a large one-time cash outflow that impacted this ratio. We are clearly on pace to exceed our 2023 objectives for managing the balance sheet and look forward to reaching our target steady state of 2.5x in mid-2024. Once we achieve this milestone and the balance sheet has proven to have stabilized, it will enable us to more aggressively pursue some of our exciting organic growth strategies and global priorities.  Moving into a review of our segments and businesses. The Farm segment was the anchor contributor to the quarter with stable results in North America, complemented by solid growth from our international operations. Our Canada Farm business continues to generate reliable contributions to the global Farm segment. Revenues were flat year-over-year in the quarter and up 22% year-to-date. Margins were again strong in the quarter with growing volumes for our portable grain handling products, manufacturing efficiencies and more disciplined pricing strategies all supporting the results.  Our portable equipment manufacturing facilities continue to review and implement the most efficient ways to increase production while maintaining quality to consistently meet strong fundamental demand. The strategic focus of our Canada Farm and Commercial teams to actively promote new products across both our existing and targeted dealerships is another source of incremental demand for the business, supporting both current and future growth.  Our Canada Farm business maintains a positive outlook with an order book up 129% year-over-year with significant strength in portable equipment demand. Demand for permanent grain handling and storage equipment has softened in recent months as growers acclimate to higher interest rates and navigate a dryer 2023 season. Our expanding and improving product lines and strengthening customer service capabilities, combined with the consistent trend for rising grain volumes, lead us to anticipate an even brighter outlook for Canada Farm as we look towards 2024.  The U.S. Farm business continued to perform well in the quarter with revenue stabilizing year-over-year. Unlike Canada, the U.S. Farm business featured a more balanced sales mix between portable and permanent handling equipment solutions. The U.S. business has seen a steady rise in contributions from dealer conversions and efforts to win business with new customers and penetrate new geographies generates tangible business results.  Similar to the Canada Farm business, the ongoing focus on manufacturing efficiencies has yielded a sustained uptick in the margin profile of our U.S. Farm business. The order book is down slightly relative to last year, with several activities initiated to strengthen ahead of 2024, such as leveraging product transfers and enhancing sales strategies through product, market and customer segmentation.  Contributions from international regions drove the growth for the Farm segment in the quarter. This is yet another important reminder of the benefits of our diversified and resilient overall business model. With exposure to different agricultural regions throughout the world, AGI continues to deliver profitable organic growth and is able to consistently overcome regional pockets of weather, political or economic disruption. As the international side of our business continues to grow, the benefits of diversification and the stabilizing impact it has on our results will strengthen.  The performance in international Farm was led by Brazil, where revenue set an all-time record with Farm representing the majority of the sales mix from the country. A record soybean crop and near-record corn crop drove overall activity and an improving farmer sentiment despite some offset from higher interest rates. While non-steel input costs provided some headwinds to margin capture, the Farm team in Brazil continues to perform well. The third quarter results are particularly impressive, given the challenging economic conditions in Brazil, which demonstrates a significant demand for AGI products and capabilities in this region.  In Asia Pacific, our Farm business is largely concentrated in Australia, which delivered another steady quarter. The portable grain handling product transfer to India continues to progress across the extensive product line with the first models shipped, assembled and tested in Australia by our dealer partners. Having local production capabilities in India provides more competitive supply, support and service to the strategically important Australian market, which will enable long-term demand and growth.  In EMEA, dealer engagement efforts in Continental Europe have supported pockets of permanent grain handling and storage solution demand. The Farm segment in EMEA is a smaller piece of our Farm business and is an area where we are looking to find ways to further unlock opportunities. In aggregate, our Farm segment continues to be a key contributor to AGI's overall results with an order book up 22% and an expanding margin profile, the outlook is bright for year-end and heading into 2024.  Now turning to our Commercial segment results. Similar to the Farm segment, it was areas within our international business that contributed to the overall positive results and stabilized segment performance. The third quarter featured another strong result for the Commercial segment in South America and for Brazil, in particular. Results were underscored by the final commissioning activities on two very large and complex commercial projects for key customers. These are milestone projects for the local team in Brazil and represent a significant increase in the sophistication of our project execution capabilities.  Recently executed product transfers and the associated increase in local capabilities are expanding the Brazilian team's market range and project scope well ahead of expectations. As we deepen and extend our project experience, we are well positioned to play a leading role in the development of agriculture infrastructure across Brazil from routine orders to significant and complex commercial-level projects.  Our Asia Pacific Commercial revenues were flat with some softness in Southeast Asia, offset by continued strength in India. Already a leading contributor, the margin profile in India continues to expand as operational excellence initiatives and penetration of higher end markets combined to drive margins upwards. This is evidence that the operational excellence initiatives are not just North America-centric, progress is being made at AGI facilities all around the world.  On the product transfer front, the success in setting up the storage bin line has attracted interest from local customers with large operations across India. Establishing strategic partnerships with customers, who are enticed by local production with products tailored to the region, are an expected source of accelerated growth. This is true not just for India but in all regions where active product transfers are taking place.  Our EMEA region was again able to generate fairly stable results despite pricing conditions. In lieu of the slowdown in customer purchasing activity, the team continues to focus inward on operational excellence initiatives and has been successful in driving significant gains in gross margins. This favorably positions our EMEA region to accelerate EBITDA growth as sales and activity ramps up over time.  We have begun to see notable pockets of strength and demand throughout the region as the EMEA order book has grown 17% year-over-year. And we are further encouraged by a large and highly active pipeline. One additional comment on our EMEA region as it relates to the evolving situation in the Middle East. While we do not have assets, operations, employees or meaningful revenues from the areas where conflict has taken place, we continue to monitor the situation closely.  Results in our North America Commercial segment were mixed. The core Commercial business in the U.S., the largest subsegment within North America Commercial, posted significant increases in revenues and adjusted EBITDA. Meanwhile, the core Commercial business in Canada and the Food platform continue to navigate challenging conditions with efforts focused on rebuilding the order books.  Taken together, the North America Commercial segment revenue decreased by 6% but gained from expanding gross margins and disciplined SG&A to deliver solid incremental adjusted EBITDA growth of greater than 8% year-over-year. North America Commercial was one of the leading contributors to the overall consolidated adjusted EBITDA growth in the quarter and continues to provide good momentum to our results despite the headwinds in the Food platform.  And finally, a few comments on our AGI Digital business. The challenging and rapid business transformation executed through the first half of the year continues to pay off with the Digital business generating nearly $2.5 million in positive adjusted EBITDA in the quarter. This follows last quarter, where Digital achieved its first-ever break-even performance.  The Digital business has solidified a firmly positive outlook for full year adjusted EBITDA. We are now focused on accelerating the growth of our Digital business and have several new international opportunities to help further boost performance, an exciting development for an AGI business unit that has primarily been U.S.-centric in sales and operations to date.  Overall, we are pleased with our third quarter results and the strong 2023 so far. We are on pace to close out another record year with all high-level KPIs trending in a positive direction. I'm particularly encouraged to see the significant progress on margin expansion from our operational excellence initiatives. This is quickly becoming a key capability for AGI, along with our broad product portfolio and a wide range of geographic positions.  Our third quarter results were enabled by excellent contributions from our international geographies, notably Brazil delivering an all-time record quarter. Our international regions have now collectively delivered over $500 million in revenue over the last 4 quarters, a key milestone achievement and tangible evidence that our diversified business model continues to drive stable and growing results for AGI.  As we look ahead to 2024, we are committed to complementing this enhanced margin profile with accelerated revenue growth initiatives. Leveraging expanded margins, a strong revenue growth and a deleveraged balance sheet, AGI will continue to create value for all our valued stakeholders, our customers, employees and shareholders.  Thank you for your time this morning. And I'll now hand the call over to Jim.
James Rudyk: Thank you, Paul, and good morning, everyone. For today's call, I will touch on four areas, including: an overview of our third quarter results; an update on our balance sheet and related key metrics; a few comments on our cash flow; and I'll close out the prepared remarks with a recap on our outlook for the year.  On a consolidated basis, third quarter revenues of $410 million increased 2% over last year's all-time record quarter. The trend in expanding gross margins continued from the second quarter and in addition to disciplined SG&A cost containment helped to drive approximately 165 basis points of adjusted EBITDA margin expansion. Overall, adjusted EBITDA landed at $85 million growing 11% in the quarter and clearly demonstrates our ability to capture additional margins from modest sales increases as the benefits of our operational excellence initiatives take hold.  Our Farm segment delivered $227 million in revenue, growing 3% year-over-year. Adjusted EBITDA of $62 million grew 22% year-over-year, with margins expanding over 400 basis points to 27%. Stable sales in North America were complemented by growth in international regions, notably Brazil. The margin result was a combination of operational excellence initiatives as well as from mix with a weighting towards portable equipment relative to last year.  In the Commercial segment, revenues of $183 million were stable with last year's result. Adjusted EBITDA of $34 million grew 6% year-over-year with margins increasing roughly 100 basis points. Similar to farm, the strong results in Brazil helped offset some softness in other areas.  Moving on to our balance sheet. We continue to make steady progress on our working capital metrics and key leverage ratios, clear indicators of the structural improvements we are making to the business and how we manage it. Working capital investment continues to be a key focus area across the organization. Our net investment of $243 million in the third quarter was down from $264 million year-over-year. As a percentage of revenue, working capital investment fell from 16.4% to 14.8% year-over-year on an annualized basis.  This is roughly a 160 basis point improvement and continues a clear trend from the last several quarters that shows a sustained improvement in how we are managing our working capital across AGI. Over the last year, we placed a heightened focus on our inventory levels, and in particular, our days sales of inventory or DSI. Our DSI metrics are closely managed KPI across AGI. And they continue to make tremendous strides versus recent quarters and year-over-year.  Credit facility management also continues to be a focus area. Our net debt leverage ratio decreased to 3.2x in the third quarter. This is a significant improvement from 4.1x year-over-year and 3.3x sequentially. This is after factoring in the Bin Incident settlement repayment. Without that one-time nonrecurring cost in the quarter, our net debt leverage ratio would have improved even further. Despite this added cash outflow, we still expect to be at or close to our original goal of approximately 3x by the end of 2023.  Turning to a few comments on cash flow. Funds from operations of $64 million were up from $56 million year-over-year. Similar to last quarter, the step-up in available cash flow mirrors the increase in adjusted EBITDA and demonstrates our ability to capture and convert our growing adjusted EBITDA into cash flow.  And finally, turning to our outlook. We remain excited about the path we are on to close out 2023. We are encouraged that the order book continues to grow and is up 3% year-over-year. This is in light of a few areas across AGI where we are rebuilding the pipeline, most notably our Food platform. We have clear line of sight to the end of 2023 and have reiterated our outlook for the full year with adjusted EBITDA of at least $290 million. In addition, we have updated our full year margin guidance with adjusted EBITDA margins now expected to be of at least 18.5%, up 50 basis points from prior guidance of 18%.  This represents a significant step-up in results when the last several years of consecutive successive record results are taken into consideration. Achieving this level of growth and profitability on a consistent basis is a clear indicator of AGI's growth trajectory and the types of opportunities available in the markets we serve around the world.  Thanks, everyone, for your time. And we'll now open up the call for questions.
Operator: [Operator Instructions]. The first question comes from Jacob Bout of CIBC.
Jacob Bout: So a couple of quarters here, we've seen revenue kind of in the low single-digit growth rate year-on-year. Maybe just comment on what your expectation is for revenue growth through the end of this year and into 2024. Because if you take a look at backlog, overall U.S. is down and South America is down year-on-year. And so maybe just talk through backlog as a predictor of revenue growth going forward.
Paul Householder: Yes. No, thanks for the question, Jacob. Yes, first, I'll start with the revenue portion, commenting on your point on the revenue over the past few quarters. You've heard in our opening comments, one of the things that we highlighted is the steel impact on our revenue. So just to elaborate on that a bit further, if you look at Q2 and Q3, we've seen steel as a significant input cost.  That represents somewhere around 25% to 30% of our cost bases still being down about 20%. So if you look at that and normalize out that steel cost, that would add about 3% to 5% roughly to our revenue. So you put that in the context of Q2 being up 2%, normalized for steel, we see that more in a 5% to 7% range. So just to build on those opening comments relative to steel.  Going to the comment on order book, we're up 3% versus prior year. We do have some very important pockets of strength in our order book, notably Canada Farm, EMEA, India. All three of those regions, Jacob, are up over 10% from an order book standpoint. As you correctly pointed out, we do have some soft areas in our order book. U.S. Farm is soft. South America is soft as well. I'll take each one of those individually.  When you look at U.S. Farm, we do have a positive outlook on that order book encouraging or improving, setting ourselves up for a positive 2024. One of the dynamics that we're watching closely here over Q4 is the rising steel costs now that we're seeing. Steel costs have increased rather notably over the past 4 to 6 weeks. That's often a catalyst for dealers to move forward with purchases on our permanent side of our business.  So we're out there very actively with our dealer partners, having conversations with them on the permanent side of our business. We think that's also a driver for a strengthening U.S. Farm order book heading into 2024 as well. Portable demand remains robust, particularly in Canada but as well as U.S. So going forward, it's really on the permanent side that we would expect to see an improvement from an order book standpoint.  Jumping down to South America, I mean, fantastic quarter for Brazil, tremendous work by the team in that area. We're quite confident that our performance in Brazil has led to a significant increase in market share. We continue to gain market share throughout this year. Our order book is down. A lot of that is timing. We mentioned that we had two significant commercial projects that closed in Q3.  Those were very important projects for us, key customers, both quite successful projects. So we're very proud of the team and the accomplishments down there. We do expect that Commercial portion of our order book in South America to rebuild. We've got a number of exciting opportunities in our pipeline that we're working very closely with our customers in securing those orders.  And then on the Farm side, there's been some improving farmer sentiment, at least from our perspective, that is a good tailwind heading into 2024, complementing that, some key government initiatives that are supporting investment in infrastructure on the farm level as more credit becomes available, encouraging farmers to make and move forward with those purchases.
Jacob Bout: Maybe just a follow-up here, so do you expect backlog then to be positive year-on-year in the U.S. and South America as we get through fourth quarter?
Paul Householder: Well, we certainly expect the order books to improve sequentially, Jacob, across Q4 and into Q1. And certainly, our target would be for both of those to be up over prior year as we head into the year but certainly improving and strengthening sequentially, yes.
Operator: The next question comes from Michael Doumet with Scotiabank.
Michael Doumet: So very nice improvement on the margins. Several operational excellence initiatives helped you get here. But it doesn't sound like you're done, Paul. I don't know, Paul, if you'll ever be done there. But how do I square the year-to-date EBITDA margins at 19.2% despite the low Q1 and more efficiencies to come with the 18.5% presumably -- well, you said for 2023 were presumably beyond? Just wondering if there's an element of conservatism there or if there's potential headwinds we should consider.
Paul Householder: Yes, thanks for the question, Michael. And we're equally encouraged by the performance we've had from an operational excellence standpoint and the margin improvement gains that we've made. It's interesting to note that as we look very deep at where that margin improvement is coming from, it's really even all the way down to the individual product line basis. So that's where it's particularly encouraging is that we're seeing notable improvement in margins at the individual product line level.  Obviously, we had a significant step-up in our EBITDA margins from Q1 to Q2 and then largely holding on to that in Q3, which is encouraging. When you look at the business at AGI over across the year, we do have peaks in the quarter, Q2 and Q3 typically being our strongest quarter from a top line standpoint.  And with the strength in the top line of Q2 and Q3, that's going to support our highest margin quarters for the year. So we would expect Q2 and Q3 to be peaks in terms of our EBITDA margin for the year. Q4 coming off those levels but still up notably over prior year, which supports that 18.5% full year guidance.  Going forward, as we've commented, we're really just getting started from an operational excellence standpoint. A lot of the initiatives that we have underway, we kicked off just the beginning of the year in 2023. These are multiyear initiatives. So as you're referencing, Michael, we do expect to have further improvements from our operational excellence capabilities going forward.  Obviously, this is an important area for us. We continue to invest in key resources, prioritize this as an area of investment because we think it's going to be a key capability for us going forward. So in aggregate, yes, we see benefits from our operational excellence carrying into and through 2024.
Michael Doumet: Perfect. Second question, I think we're all going to try to figure this out and ask questions on it. 2023 looks to be a great year for Ag Growth. And I guess, the question is how repeatable or beatable is it in 2024? You talked about a couple of things, accelerated growth initiatives, margin expansion. Just wondering how that all squares out with your visibility on the macro so far.
Paul Householder: Yes, thanks, Michael. And this is a challenge that the team is certainly up for. And when I say challenge, it's the challenge of continuing to outperform our prior year. We continue to set an increasingly high performance bar. If you look at our track record over the past 3 years, we've consistently grown EBITDA greater than 20%. I think over the past 3 years, our EBITDA has now almost doubled.  And then we've complemented that by an EBITDA margin expansion of approximately 400 basis points over the past 2 years. So the team is doing fantastic work. We're setting the performance bar quite high. And we're entering 2024 with a high degree of confidence. Not only do we have the higher margins and all the initiatives in place to support that area, but a number of our growth initiatives provide a tailwind heading into 2023.  And so just commenting, Michael, a bit on a few of those growth tailwinds, there's really three in particular that we'll highlight. One is our growth platforms. And when we talk about growth platforms, there's really three in particular: Food, Digital and Feed. Now obviously, Food and Digital, they've been restructured programs across 2023.  We've made substantial progress in both of those areas, which gives us a lot of confidence that performance in those two businesses are actually going to be a tailwind across 2024 and then complementing that by a lot of progress we've made in the Feed segment, a very attractive order pipeline in Feed that will also be a tailwind for growth heading into 2024.  Second one, geographic expansion. Notably Africa and Middle East, substantial progress across 2023. This is one of the areas that underpinned that increase in our EMEA order book by 17%. And that is complemented by an extremely strong order pipeline. Food security, particularly across the Middle East, is a very strong driver for demand. And that is where a lot of that quote log resides. We expect our order book in EMEA to improve substantially over Q4 and set us up very strongly for 2024.  And then the last one that we talked about frequently is the product transfers. Across 2023, we've made notable progress in all the upfront efforts around engineering and manufacturing transfer. We're now out marketing and selling these product transfers across key geographies of Brazil, India as well as North America.  Not only is our quote log increasing substantially in support of these product transfers, they're now tangibly in our order book. And we expect a very strong order book on product transfers heading into 2024. So that's really our third driver of growth and why we're quite bullish heading into 2024.
Operator: The next question comes from Steven Hansen with Raymond James.
Steven Hansen: Paul, I understand -- I'm not trying to diminish any of the progress you're making on the operational excellence initiatives, they sound fantastic. But I'm surprised you didn't mention the portable mix in your commentary around the margin progression.  The only reason I ask is I'm just mindful that if you get a big surge or recovery in some of the permanent business next year that you don't get some contraction in the margin. Is it possible to attribute margin expansion between the mix shift in the portable business versus all the other initiatives you've already discussed?
Paul Householder: Yes, for sure, Steve. And that's a fantastic question. Thanks for the question. So yes, it is important to look at our margin expansion and delineate between mix as well as fundamental improvements in our margin, which I think is the point that you're getting at. So absolutely, we've had very strong performance in our Farm segment this year. We've had very strong performance in our portable segment this year. So for sure, that is supporting our margins from a mix standpoint.  What is encouraging when you look at our operational excellence initiatives is that when you drill down to the product lines, you see a similar margin expansion. So it's not just mix-driven. It is fundamental improvements in our cost structure and our efficiencies measured at the product line level. So our portable margins have expanded. Our permanent margins have expanded. Our Commercial margins have expanded. So it's fundamentally ingrained at the core of our business.  Now absolutely, Steve, to your comment going forward, if and as we see a mix shift across 2024, with perhaps Commercial strengthening and the permanent side of our strength -- our permanent side of our Farm business strengthening, fundamentally that mix shift would support margins going down. We're quite confident that the ongoing efforts in operational excellence and the improvements that we are going to make are going to more than offset mix shift going forward.
Steven Hansen: Okay, very helpful. And then just one follow-up again on the outlook for the U.S. business in particular, that's where some of the weakness has been more centric of late. How do you feel about that business from a growth standpoint into next year? You've described a few elements of that business already. But whether it's the dealer takeup, the farmer sentiment, I mean, how are you balancing all those factors as it stands?  And then I guess, just maybe a bit more color on the same point is around the steel surge that we've been seeing. It sounds like that's starting to pull customers in the door a little bit faster ahead of the steel increase. I think that was the tone of your question -- or your point.
Paul Householder: Yes, Steve, I think you're spot-on, very good read. So U.S., key segment for us certainly across both Farm and Commercial. When you look at our Farm business, we have a terrific position from the portable side. We have very strong market share. Demand has continued to be very good. And we expect 2024 to be another very strong year for our portable side of our business in Farm.  Where you see the softness is on the permanent, albeit we have had a pretty good year on the permanent side in U.S. Farm. But yes, we do see the recent surge, the recent increase in steel prices being a catalyst for an improvement in the permanent side of our business and the strengthening of that order book heading into 2024.  Our fantastic sales team is out now working and collaborating with our valued dealer partners on exactly that topic, working with them, encouraging them to take advantage of the current favorable pricing that we have in our product line and get ahead of the steel increases and get their orders placed heading into 2024. So yes, that is a tailwind that we see supporting both our U.S. Farm business as well as our order book in aggregate going forward.
Operator: The next question comes from Andrew Wong with RBC Capital Markets.
Andrew Wong: So AGI has definitely had a great few years. Operations have executed really well. I think your commentary does a really good job of highlighting the tailwind and your confidence in the business. So just not to take away from any of that, I just want to -- I wanted to wonder, like could you flag any potential hurdles or challenges that you do think could come up as you go into 2024? I'm sure you've looked at those. And what are some of those things that might keep you up or where are you going to 2024?
Paul Householder: Yes. Thanks, Andrew. Great question. For sure, there are hurdles and challenges out there just as there have been over the past 3 years. And we are quite confident that we will continue to face those hurdles and overcome them. As we look into 2024, some of the hurdles, I mean, it's a pretty dynamic condition from a weather standpoint and an outlook, whether that's down in South America, where we're seeing some dryness in Brazil in the north.  We've had a variable monsoon season out in India with some pockets of dryness in some areas, some pockets of high moisture in others. Obviously, Canada and the U.S. Farm have also been challenged with some difficult weather conditions in 2023. And you throw on top of that high interest rates, which are impacting quite a number of businesses, input cost rising.  So yes, there are a number of hurdles and challenges that we keep a very close eye on. What is encouraging is these are very similar challenges that we have faced, overcome and continue to deliver outstanding performance in the past. And it's why we're so confident that we'll be able to continue to do it going forward.  And it's really -- it's our diversified product line, our strong geographic positions that provide an underlying resiliency to our business that is now further complemented by our expanding margin capabilities, giving us another lever in our toolkit to drive margin and profit expansion.
Andrew Wong: Okay. That's great. And then maybe a question for Jim here on working capital. Let's say seasonally, Q4 is when there typically can be capital that unwinds. Is that a reasonable expectation for this year as well? And do you have any guidance on where that ends up for the year?
James Rudyk: Yes. Thanks, Andrew. And we've done quite a bit in working capital this year. The focus this year on retail has been on inventory management. And we've made some really significant improvements in terms of the number of days of inventory we need on hand. That focus will continue. And as you mentioned, the nature of our business is such that typically Q3 and Q4 ends up being more of the periods where working capital needs diminish quite significantly. And that translates to a lot of cash generation.  Last year, the back half of the year, it's about $110 million. This year, we expect similar improvements year-on-year. And a lot of it typically happens in Q4. We had a very strong Q3 as you saw, although a lot of it was used up to resolve the Bin Incident. But we expect a similar, if not a little bit better, working capital improvements in Q4 versus the prior year.  So yes, very strong cash generation. And what that means from a leverage perspective is we ended the quarter at 3.2x, so still down sequentially from last quarter despite the bin settlement. But we expect continued momentum and us to be comfortably able to hit our 3x leverage ratio, net leverage ratio target for the end of the year.
Operator: The next question comes from Tim Monachello with ATB Capital Markets.
Tim Monachello: There is a bunch of positive commentary on the momentum in Farm through the back half -- or sort of back quarter of the year. Is that meant to suggest that we should see some positive momentum year-on-year or even just sequentially into Q4?
Paul Householder: So thanks for the question, Tim. We are quite pleased with the performance of our Farm businesses, particularly year-to-date. You heard Canada Farm started out the year just fantastic. That was how the year was setting up from the beginning. We saw that year-to-date, I think we're up over 20%, U.S. Farm also performing quite well. So net-net, we do expect full year to be a strong year across our Farm segment led by North America, U.S. and Canada and then further supported by the strength internationally.  And we're extremely pleased with the uptick that we've seen in the Farm business in Q3, quite confident that, that directly translates to a step change increase in market share. And that's going to be a positive tailwind for us, Tim. I think that's why we are bullish on the continued strong performance of our Farm segment through Q4 and heading into 2024.
Tim Monachello: Okay. Do you think that there's a chance that, that international strength could offset some of the seasonality in North America in Q4?
Paul Householder: Yes, that's absolutely to the core of the resiliency of our business is we do have those very strong positions geographically, gives us a level of diversification. And yes, we see opportunities for that diversification to continue to play a significant role and thus being able to deliver steady and consistent results, whether that's within the Farm segment, within the Commercial segment or in aggregate across AGI, so absolutely.
Tim Monachello: Okay, got it. And then I'm just curious, the margin performance has been really strong. Obviously, you've touched on that a lot on this call. But we've seen some steel price deflation. With steel prices rising, we would have talked about the percentage margin coming down but the dollar margins staying intact, which would suggest that there's a lot of pass-through in that steel price. And so how much of a driver of margin expansion in the last few quarters on a percentage basis has steel price deflation been?
Paul Householder: Yes, thanks for the question, Tim. So when we look at pricing, there's predominantly three buckets and three different activities that we have. One is moving pricing relative to changes in our input costs. We put substantial efforts, processes and tools around this over the past 3 years. We're now quite confident in our capabilities to manage pricing relative to dynamic input costs both as our costs go up as well as cost coming down so that we keep margins at least constant with varying input costs.  Now obviously, it's the rate in which your input cost increase or decrease that creates challenges or opportunities. So if steel costs go up extremely quick, like we saw a couple of years ago, that creates a challenge in just keeping pace. And you might underrecover on -- as that curve goes up. And then if steel costs come down very quick, then you have the opportunity to overrecover coming down. But in aggregate, we're focused on making sure that pricing keeps pace with changes in input costs. That's kind of bucket number one.  And then bucket number two that we look at very closely is just net-net price expansion to drive margin improvement, so recovery even above changes in input costs, whether they're going down or going up. And that's where we are extremely pleased with our results across 2023 is we've proven an ability to gain margin expansion on core fundamental pricing actions regardless of movements in input costs. And we think that's a core capability that we're going to have in 2024.  And then just to round it out, bucket three, we continue to make significant improvements on supplier management, supplier partnership and just managing input costs better than market performance. As we make those improvements, we make sure that we adjust our pricing accordingly, so we capture those margin gains from improved supplier performance within our net-net margins.
Tim Monachello: Okay. And then last one is sort of a longer-term question. I'm just trying to, I guess, square off all these factors that may be impacting demand for permanent Farm and Commercial storage applications, mainly steel prices, the fact that higher interest rates and the fact that crop prices remain relatively elevated. So higher interest rate and higher crop prices would probably be a negative for long-term demand for storage.  And then your commentary that view towards higher steel prices incentivizes sort of shorter-term demand as we're seeing in the North American context. But do low steel prices help with affordability and -- and so like, I guess, any commentary that you have on, I guess, the trend across the platform in terms of that permanent and Commercial storage in sort of a higher interest rate and the current environment would be great.
Paul Householder: Yes. For sure, Tim. It's a fantastic question. Thanks for the question. You're right to point out that, I'll say, at the micro level, there's a number of factors that can impact demand for our permanent side of our business. And you've hit on a lot of them, whether it's the variability in steel cost, the variability in crops as well as the high interest rates. So these are all very important micro-level drivers. We keep a very close eye on and make sure we're making the right business decisions in the moment to ensure that we are performing well within those what I'll call again micro-level drivers.  But I think it's a very important question that you asked. And I think, Tim, it gets more to the macro-level drivers of investment in storage and the investment in commercial projects. And it's underscored by a global interest around food security as well as the elimination of food waste. These are very powerful and important macro-level drivers. Net-net, we think as you go around the region, there's an underinvestment in storage capacity, particularly when you get to food security. This is highly relevant in Brazil, equally so in the U.S.  And we're seeing very strong demand pulls in the Middle East and India specifically around that food security. So that's a very powerful macro-level driver. And then it's further supported by just that underlying factor that net-net investing in storage capacity eliminates waste. That increasingly is becoming a strong driver. And we see it continuing to be a strong macro-level driver going forward. So we'll have positive macro-level conditions that would suggest short-, medium- and long-term demand for investment in storage capacity as well as commercial infrastructure.
Tim Monachello: Okay, appreciate that. I guess, maybe I can sneak one more in. Can you talk a little bit about what your backlog will look like on a year-over-year basis, adjusted or normalized for steel price deflation?
Paul Householder: Yes. It's a great question, Tim. So I commented earlier that when you do all the math, roughly a 20% decrease in steel would translate to a 3% to 5% improvement or increase in revenue, right, just normalizing out for those steel costs. We would suggest that's about the same for our order book. Particularly, when you look at Q2 and Q3, both quarters now have seen steel at least at a 20% low versus prior year. So specifically, we would say it adds a 2% to 4%, 3% to 5% increase in our order book normalizing for steel, so up 3%, might be more like up 6% to 7%, 6% to 8%.
Operator: The next question comes from Gary Ho with Desjardins.
Gary Ho: My first question, just want to go back to Brazil a little bit. What are you seeing kind of after the reestablishing -- the reestablishment, I guess, of the new government funding program a few months back and then thoughts on putting more growth capital to work in Brazil to exploit the opportunities there? And where do you see the Brazil mix as consolidated total revenue when you kind of look 3 years out?
Paul Householder: That is a great question, Gary. Thanks for that question. So yes, well, I mean, we're pretty encouraged by the reestablishment of the government incentives to help continue to fuel investment in agriculture infrastructure. Obviously, agriculture is a very key part of the Brazil economy, represents greater than 30% of the GDP. Brazil is now the top -- one of the top exporters of agriculture products globally. So this is an extremely important part of the global agriculture business. And we're very excited about the position that we've grown there, the team, the capabilities that we have and how that's going to be a core part of AGI's growth going forward. So yes, all very positive.  In terms of the mix, I think we started this year, Brazil was roughly 10% to 11% of our total revenues in Q3. With the record performance that we've had in Brazil, that spiked up to 15%. Going forward, we do see a lot of tailwinds for growth in Brazil. This is a country that is very underinvested from a storage and infrastructure capacity. That's going to be a key driver. So we do see that mix improving from where we entered at 10% to 11%. Going forward, could be 15% -- could stabilize at 15%, the peak that we hit in Q3 and as well grow from there.
Gary Ho: And thoughts on putting growth capital to work there?
Paul Householder: It's -- I think we've commented on this in the past 2 quarters, Gary. So thanks for bringing it up. As we continue to strengthen our balance sheet and move more and more towards that 2.5x leverage ratio that we expect to achieve in mid-year, it now positions us to invest in organic growth for the business. The two areas that we see excellent opportunities for are India and Brazil.  So absolutely, it's an opportunity for us to make investments to ensure that we've got the capacity and the capabilities down there to keep pace with the growth opportunities. So short answer is yes as India is attractive area and, to be honest, as is North America, attractive area. So we're quite excited about our opportunity to invest in organic growth across our key businesses as that balance sheet strengthens.
Gary Ho: Perfect. And then my second question, maybe you can elaborate on the rebuilding of the Food segment. What are you seeing there and timing on scaling that up?
Paul Householder: Yes. Thanks, Gary. So we knew that 2023 was going to be a soft year for Food. We saw that coming in. We've made substantial progress around the restructuring of that business. We're particularly encouraged with some of the progress that we've seen in the past few months. You look at September, Gary, in particular, that was the month of highest order intake all year, so a nice early indicator that we're turning the corner on our Food business. Some of our top customers, the top customers that we have within that segment, they had pulled back on their capital investment at the tail end of 2022, which really set up some of the softness in 2023.  They are now coming back. They're now reopening their CapEx book and they're moving forward with projects that, to some extent, they had shelved or postponed in 2023. And then in addition to that, Gary, we've made notable progress in diversifying our customer base, expanding beyond these top customers. So for a number of reasons, we feel very good about what we've accomplished in restructuring that business. And we're bullish heading into 2024.
Operator: The next question comes from Michael Tupholme with TD Securities.
Michael Tupholme: Just one question for me on the product transfer strategy. Are you able to comment on where you expect to be in terms of that journey going into next year? And I guess, more specifically, at your Investor Day, you talked about expanding your total addressable market by about $4 billion and capturing a 20% share over time through that strategy. I guess, what I'm wondering is, is it possible to comment on how much of that additional market opportunity you'll have available to you in 2024 and how we should think about your share ramping up next year?
Paul Householder: Yes, for sure, Michael. And I'll just hit on a couple of key areas of focus for us and progress from a product transfer standpoint and how we see that supporting 2024. So no doubt, the product transfers of fertilizer down to Brazil, fertilizer over to EMEA, our bin and material handling line in India, our portable equipment down in India as well as the farm line up into North America, those are significant product transfers in which the team has largely accomplished across 2023. We're now seeing notable order intake in each of those areas that we expect will strengthen our order book heading into Q4.  I would expect, Michael, that as we get into the end of Q4 and into 2024, we'll start providing specific numbers relative to what portion of our order book is supported by product transfers. We remain quite confident that this is going to be a notable growth driver for us going forward. The comments that we made at Investor Day remain consistent with our views at this point.
Operator: [Operator Instructions]. The next question comes from Steven Hansen with Raymond James.
Steven Hansen: Just one quick follow-up. Look, Paul, I know it's really hard to comment on any outstanding legal matters. But there have been some press reports lately in Vancouver speaking about outstanding lawsuits just with respect to the bin collapse a couple of years back now, in particular, one as a third party.  I understand your position that you're not liable for third-party damages. But that's fine. I just -- is there a time frame where you think these sort of lingering issues will ultimately be dismissed or settled or entirely behind us? Is it possible to comment on any timelines around that or milestones that you expect to provide some clarity?
Paul Householder: Yes. Thanks, Steven. Appreciate the question. Obviously, this has been a topic and a focus for us over the past several years. And we are quite encouraged with the significant step forward that we made in the overall net resolution of this issue as we reach a settlement agreement with our customer that was impacted in this.  You're correct. Obviously, we still have some additional legal items hanging out there. In terms of the legal process, it's very difficult to predict how long that will take until we get to full resolution. Where we sit currently, Steve, we see this being an ongoing legal discussion through 2024.
Operator: The next question comes from Tim Monachello with ATB Capital Markets.
Tim Monachello: Just one follow-up. In the prepared remarks, you mentioned pursuing additional organic growth opportunities once you hit the leverage targets. I'm just wondering if you can kind of comment on what those might look like and what the capital intensity of the business might look like after you hit those leverage targets.
Paul Householder: Yes. Thanks, Tim. Good question. And it kind of translates back to some of the commentary with Gary. But yes, we expect our leverage ratio to improve to 2.5x mid-year, sets us up quite nicely to invest in these very exciting organic growth opportunities, India, Brazil and even across North America. As we look at these investment opportunities, Tim, they're going to focus on two key areas.  It's going to be an expansion of our manufacturing capacity and an enhancement of our manufacturing capabilities. So the capacity gets to the point of ensuring that we've got the capacity in these growth areas to support our expectations for growth over the next 5 to 7-plus years. So when we make these investments, they're going to be notable investments and they'll be investments that set us up quite favorably for long-term growth from a capacity standpoint.  And then from a capability standpoint, it's enhancing our manufacturing capabilities in these key geographies specifically tied to our product transfer strategy so that we've got the most optimal manufacturing capabilities to support the new products that we're introducing as well as the growth that we expect of those products going forward.  So we're not yet at the point where we've got a view on the intensive capital investment. We've got a team that is working on the definition of those opportunities, scoping them out and putting that information together so that when we are at a point in time of making those investments, we're fully prepared for them.
Tim Monachello: Do you think that your manufacturing capacity in your primary growth regions is sufficient to meet the near-term expectations for growth in those markets in the time before you can get those plants up and running?
Paul Householder: Yes. Short answer, Tim, is yes. Jim does a great job of describing how we are currently allocating our CapEx. We've got a good balance between maintenance CapEx. And as what we have been and we'll continue to make incremental investments in growth CapEx, so we have added important manufacturing elements and investments into Brazil, into India, across North America that are specifically geared at making sure that we've got the capacity needed to support the excellent near-term growth opportunity. So short answer is yes, we've got the capacity that we need to support our near-term growth.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Paul Householder for any closing remarks. Please go ahead.
Paul Householder: Yes. Thanks, everybody, for joining our call today. Very pleased with the Q3 results that we were able to deliver, and want to provide a specific thanks and appreciation to the outstanding work from the global AGI team. It's ultimately our team and our people that are delivering these fantastic results. So we look forward to Q4, and we look forward to 2024. Thanks.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating, and have a pleasant day.